Operator: Good morning, and welcome to Stronghold Digital Mining's conference call for the second quarter ended June 30, 2023. My name is Norma, and I'll be your operator this morning.  Before this call, Stronghold issued results for the second quarter 2023 in a press release which will be available in the Investors section of the company's website at www.strongholddigitalmining.com. You can find a link to the Investors section at the top of the home page. Joining us today on the call are Stronghold's Chairman and Chief Executive Officer, Greg Beard; and Chief Financial Officer, Matt Smith.  Following their remarks, we will open the call for questions. Before we begin, Alex Kovtun from Gateway Group will make a brief introductory statement. Mr. Kovtun, please go ahead.
Alex Kovtun: Thank you, operator. Good morning, everyone, and welcome. Today's slide presentation, along with our earnings release and financial disclosures were posted to our website earlier today and can be accessed on our website at www.strongholddigitalmining.com. Some statements we're making today may be considered forward-looking statements under securities law and involve a number of risks and uncertainties.  As a result, we caution you that there are a number of factors, many of which are beyond our control, which could cause actual results and events to differ materially from those described in the forward-looking statements. For more detailed risks, uncertainties and the assumptions related to our forward-looking statements, please see the disclosures in our earnings release and public filings made with the Securities and Exchange Commission.  We disclaim any obligation or undertaking to update forward-looking statements to reflect circumstances or events that occur after the date the forward-looking statements are made, except as required by law. We will also discuss non-GAAP financial metrics and encourage you to read our disclosures and the reconciliation tables to applicable GAAP measures in our earnings release carefully as you consider these metrics.  We expect to file our quarterly report on Form 10-Q on or prior to August 11, 2023, with the Securities and Exchange Commission, which sets forth detailed disclosures and descriptions of our business, as well as uncertainties and other variable circumstances, including, but not limited to risks and uncertainties identified under the caption, Risk Factors in our previously filed annual report on Form 10-K filed on April 3, 2023, and our subsequently filed quarterly report on Form 10-Q. You may access Stronghold's Securities and Exchange Commission filings for free by visiting the SEC website at www.sec.gov or Stronghold's Investor Relations website at ir.strongholddigitalmining.com. I would like to remind everyone that this call is being recorded and will be made available for replay via a link available in the Investor Relations section of Stronghold's website.  Now I would like to turn the call over to Stronghold's Chairman and CEO, Greg Beard. Greg?
Gregory Beard: Good morning, everyone, and thank you for joining us on our second quarter 2023 earnings call. For today's call, we're going to reference an associated slide presentation that is available through the webcast and on the Investor Relations section of our corporate website.  During the second quarter, Stronghold continued to take proactive steps to execute on our strategic growth plan, expanding our hash rate capacity to approximately 3.6 exahash with the expectation of reaching our full 4 exahash of capacity by September 1, further positioning the company for long-term sustainable success with increased revenue and cash flow.  Before turning the call over to our CFO, Matt Smith, for a review of our financial results, I would like to touch on some recent highlights from our business and on our continued confidence in the year ahead.  Let's start on Slide 3. As a reminder to everyone joining us today, Stronghold owns and operates two waste coal reclamation and power generation facilities in Pennsylvania, Scrubgrass and Panther Creek. With aggregate power capacity of 165 megawatts. Today, we have over 40,000 miners delivered or under contract to be delivered. Additionally, we continue to seek opportunities to expand our capacity by deploying 25 megawatts of owned end-to-end data center equipment at a new site that we expect will be able to support at least 1 exahash.  Moving to Slide 4. Last year, we announced a strategy to delever, reduce costs and further build out our mining fleet opportunistically to better position Stronghold for long-term success. Since achieving those targets, we're now focused on execution and resiliency as we prepare for the next having, it has become increasingly important for us to make the right moves to improve our operational efficiency and expand our mining fleet in a cost-effective way that maximizes earning potential.  Since April, we have added approximately 1.6 exahash of hash rate capacity through purchase and posting agreements with incremental spending of only $15 million, which equates to approximately $10 per terahash for high hash rate, high-efficiency miners. These miners include over 6,000 MicroBT M50 and M50S miners, 4,000 A1346 and 2000 A1246 miners associated with the Canaan Bitcoin mining agreement and 2,000 additional purchased A1346 miners. We expect that all of these matters will be installed by September 1, which puts us on track to reach our data center capacity for exahash one month earlier than expected.  In addition to growing our mining fleet, we also remain focused on improving operational efficiency and lowering expenses associated with our operations. We have eliminated more than 1/3 of our fixed costs over the last year and continue to track a net cost of power between $40 and $50 per megawatt hour.  Transitioning to Slide 5, I'd like to dive a little deeper on our recent miner additions, starting with our purchase of MicroBT miners on the left. We initially purchased 5,000 M50 miners in April, and then we purchased over 1,000 more M50 and M50s miners in July. The total cost was approximately $12 million. While hash price has pulled back from where it was at the time of these deals, based on a $0.07 hash price and a $45 per megawatt hour cost of power, we would expect $10 million of annual EBITDA uplift from these transactions. And we would expect an internal rate of return exceeding 100%. Even at a $0.06 hash price, we would expect returns well in excess of our cost of capital.  Moving to the Canaan Bitcoin mining agreement and the purchase of Canaan miners on the right. We recently entered into a 2-year Bitcoin mining agreement with Canaan for 4000 A1346 and A1246 miners. In July, we subsequently expanded this agreement by 2000 A1346 miners and simultaneously purchased another 2000 A1346 miners from Canaan for approximately $3 million. These miners are objectively among our best performers in our air-cooled strong box containers and provide an attractive value proposition given the combination of high hash rate, energy efficiency and price point.  In aggregate, we would expect $7 million of annual EBITDA uplift from the Canaan transactions, assuming a $0.07 hash price and $45 per megawatt hour cost of power and similar to the purchases of MicroBT miners, the forecasted return profile is exceptional. Looking at the Canaan and MicroBT deals in the aggregate, based on current market pricing, we would expect incremental annual EBITDA of $17 million with only $15 million of capital invested, demonstrating our continued focus on capital efficiency.  As a quicker aside, I wanted to highlight that we believe that combination of prevailing hash prices and prevailing mining hardware prices represents the most attractive capital deployment opportunity that we have seen in the space. As shown on this page, current market pricing results in forecasted triple-digit IRRs and paybacks around 1 year. This forecast and return profile is stronger than any of that we have seen historically, even back in 2021 when bitcoin prices approached $70,000.  Moving to Slide 6. We currently have approximately 3.7 exahash of hash rate capacity and expect to reach our current data center capacity of 4 exahash by September 1. With a contracted hash rate capacity of 4.2 exahash, we will look to optimize hash rate, energy efficiency and . And we remain focused on a new location for a third site where we plan to utilize the 25 megawatts of end-to-end data center equipment in inventory. We have identified target locations for the new site and we plan to provide more details by the end of the third quarter.  Looking to the chart on the right and further demonstrating our capital efficiency, we have been able to make investments recently in highly compelling price points with CapEx of $10 per terahash this year, a significant improvement from $60 per terahash for 2021 and the first half of 2022. We believe this reflects our capacity to strategically and opportunistically expand our mining fleet, maximizing revenue potential per dollar spent more than ever before.  With that said, I would like to pass it over to our CFO, Matt Smith, to further discuss our financials and results from the quarter.
Matthew Smith: Thanks, Greg. I'd like to go over our results from the quarter and briefly touch on our balance sheet as well. Our total revenue for the second quarter of 2023 was $18.2 million, which included revenue of 13.8 cryptocurrency and self-mining, $3.1 million from cryptocurrency hosting $0.7 million from the sale of energy and $0.6 million from capacity sales. We mined 626 Bitcoin during the quarter, representing approximately 43% of growth when compared to the fourth quarter of 2022 and 1% sequential growth from the first quarter of 2023 despite Bitcoin network hash rate growth of 39% and 23% during the same periods, respectively. GAAP net loss was $11.7 million, and adjusted EBITDA was a loss of $2.6 million. A reconciliation for those figures is included in the appendix.  On the environmental side, during the quarter, we removed approximately 140,000 tons of coal refuse from piles and returned approximately 81,000 tons of beneficial used hash to remediate these toxic coal piles. This important work continues to underscore 1 of our core value propositions of being in an environmentally friendly Bitcoin miner.  Lastly, I'd like to briefly discuss our balance sheet and 2 related events that impacted it during the quarter. When comparing results from this quarter's end date on June 30, 2023, and August 7 of 2023, the company held approximately $5.1 million and $4.6 million in cash and cash equivalents, along with 47 Bitcoin and 35 Bitcoin on our balance sheet, respectively. At both respective dates, Stronghold had approximately 59 million in debt outstanding. Finally, I wanted to briefly discuss 2 recent items impacting our share count.  This May, we announced a 1 for 10 reverse stock split. The decision to effect a reverse stock split was primarily to increase our per share market price of the company's Class A common stock and bring the company into compliance with NASDAQ's minimum bid price requirement. We also put in place a $15 million at-the-market offering, which enables, but does not require us to sell shares of our Class A common stock. We were able to use the ATM opportunistically in funding the company's growth, if it is compelling to do so. You can find more details regarding our latest share count in our capitalization table slide in the appendix.  Now moving to Slide 8. We understand that there are a number of ways to value businesses with cash flow and key drivers of cash flow as metrics being the most useful. Using most of those metrics, Stronghold is undervalued when compared to our public peers. While DCF valuation and multiples on cash flow metrics are generally the best indicators, the range of market assumptions used by equity research as well as the funding requirements for peers to achieve their growth plans make comparability quite difficult for such methodologies. Here, we show enterprise value, which is the value of equity and debt, less cash and Bitcoin holdings divided by current hashway capacity and Bitcoin production, the primary drivers of revenue in our industry.  When looking at these metrics, Stronghold currently trades at close to a 60% discount compared to our peers. This is surprising to us and we believe our valuation discount will narrow over time as we remain well positioned relative to our peers.  I will now turn the call back over to Greg for closing remarks.
Gregory Beard: Thank you, Matt. To summarize what we've discussed today, we are executing on the objectives we have communicated to the market. We are on track to reach our current data center capacity of 4 exahash in the coming weeks and we have dramatically improved our cost profile and balance sheet. We remain confident in the strength of the business and our growth prospects, and we look forward to sharing additional operational updates in the future.  With that, operator, let's open the call up for questions.
Operator: [Operator Instructions]. Question comes from the line of Chase White with Compass Point Research.
Chase White: So a couple, if I may. How should we think about the amount and the cadence of CapEx in the second half of this year, presumably it would be mostly in 3Q, but just love some color on that.
Gregory Beard: So I think what we want to make sure everyone understands is that we have spent what we need to spend to get to our 4 exahash number and any incremental spending related to miner purchases will just be to upgrade or potentially for our third site where we have the 25 megawatts of equipment, so I think what's important to note is that we may spend additional capital, but it will be associated with growth. So to the extent you're modeling in a capital spend related to mining, know that you're then modeling a number beyond 4 exahash. Of course, sometimes we make investments in the plants. And so we've got a planned outages later this year that will be very short and won't be expensive. So I think you can model in a little bit of capital for that, but it's not over the big numbers. Does that help?
Chase White: Yes, yes, but maybe just to put a finer point on it, like in the third quarter, I think you guys said that you had spent some in July. So I'm just trying to get a sense of like for modeling purposes, how much we should think about that they already been spent in the third quarter.
Matthew Smith: Chase, it will be about $3 million for miner specifically. And I think just to drive Greg's point on -- that's all that's required to get to 4. And we've provided guidance that by the end of this quarter or shortly thereafter, we're going to share with the market. Share with the market what we expect to do with any next coming growth project, which we refer to as a third site.  And so I mean, currently, there is no additional capital expected, but if we were to go forward with the third site, we would definitely have plans on how we're going to creatively fund it, what the growth would represent for a step function in revenue and cash flow and payback on anything we would do. But at this point in time, we haven't, there's no additional capital plan for miners beyond that unless we high-grade over time, as Greg described.  And just a reminder, we've provided guidance previously of $2 million to $4 million for outages this year. That -- those -- we're still -- we did a significant outage of Panther in the second quarter that flowed through operations of expense. At this point in time, we don't plan significant outages as Greg said, and so we're still sticking to our $2 million to $4 million of guidance for the year. But if we choose to take a plant offline for a few days in September, to give us some TLC, we may still do that, but we still believe our $2 million to $4 million of outage guidance is good.
Chase White: Got it. That's helpful. And then next question is, are you able to give us any updated thoughts on incremental revenue potential for ash sales?
Matthew Smith: Yes. So I think we -- at the beginning of the year, we provided kind of $1 million bogey. And we have not updated that. At this point, we don't see a need to update that. I think we feel pretty good about being on track for that. And so we look forward to updating you closer to the end of the year to judge how we did against that original hypothesis.  I think the year has gone on, and we have done a lot of scientific testing of our ash. I think that we've seen the value of it has gone -- our views of the value of it have gone up and not down. And you just sort of -- I'll let you think through what that may mean. But I think we look forward to sharing with you additional potential uses of ash in the near future. So we'll look forward to coming back to you with that.
Operator: Our next question comes from the line of Kevin Dede with H.C. Wainright.
Kevin Dede: Thanks so much for having me on the call. Greg, can we sort of peel the onion back a little bit on your specific fleet operation -- the -- I'm curious about the what -- I know it's early, but I'm wondering if you can give us any feedback on the operation of the Canaan miners that you've seen so far. And how you plan on -- or how you see your overall fleet efficiency progressing with the inclusion of the new miners you've bought?
Gregory Beard: Yes. That's both great questions. So I think the answer on the Canaan is that they are, I would say, tied for our best-performing model. We're happy with, they for one thing, deliver the miners when they say they're going to deliver them and they work when they plug them in and they're efficient. So it's tough to -- and we have like the early read is the uptime for these miners is in the -- and then the ones that show up not working, they turn around and send us working ones. So really happy with that. That miners in relationships, which is why you've seen that we've experienced with them already since we create that relationship, I guess, 6 months ago, was when we first started.  So I think we're -- in terms of overall fleet efficiency, we're trending toward 33 joules per terahash. And obviously, hey, with [indiscernible] coming up, we're hopeful that you and others will recognize that having like an in-house, low-cost efficient fleet will put us in a good position to do well relatively, but I think you expect that the fleet efficiency to trend in the right direction and the more efficient direction over time. I think we're constantly moving and evaluating new JVs and capital-efficient ways to improve the efficiency of the fleet, and that will not change. That activity will be accelerating and increasing we think, over the next coming quarters.
Kevin Dede: Can you offer us a little more detail on how you saw the PJM energy market, noting that energy sales were down significantly sequentially and year-over-year. I'm just kind of wondering how -- what you saw, how you position yourself against what you saw and what you're expecting?
Gregory Beard: Yes. So if you're -- we're a blend of being in the power business and the Bitcoin mining business, so like the strength of our model is that if power prices are high, we help the grid and turn off the data center and sell power into the grid to take advantage of these high prices. If power prices are below our cost of power, we can do the reverse and buy power from the grid instead of making it ourselves. And so that gives us what we described as like a multiway option. I think going into any summer as a -- on the power production side, you have high hopes for big spikes in power prices where you would cycle the data centers off and take advantage of those spikes. But I think if you were to study where power prices end up, ended up this summer, we really only had 3 or 4 days that was above where we would achieve had we -- just a mine. And I think that's probably exponentially lower than what we expected. And I think that's going to roll out probably the curve for the fall in the winter, our pricing crisis this summer and I think if there's anything you learned about being in these businesses is that current expectations do not have really much correlation to future outcomes.  And so I think we're still very happy in a macro sense to be in the power business in PJM. Because of the tens of thousands of megawatts that are coming offline and the thousands of megawatts of intermittent power that's being added that's going to really cause that grid to look more like Texas than what PJM has looked like in the past. So I think we're expecting more volatility, and we're expecting our model of being able to help the grid by supplying power when needed and pull power from the grid when it helps as well. And there are pricing signals that are built in that help us do that. We're still have this model, but in terms of like the short run, this summer, we expected to sell more power at higher prices than what we did. But I think, Matt, we have some data to talk about that as well.
Matthew Smith: So Kevin, coming into the summer I think July and August blended PJM around the clock prices were about $50 a megawatt. That's obviously down substantially versus last year, was probably one of the tightest markets in -- on the back of Russian Ukraine, the European gas tightness, et cetera, et cetera, exports. And so when you roll that forward model with $50 a megawatt expected to evolve that Greg described because typically you get some, we're probably about away through the summer. So we're still hopeful that when power prices are above $100 to $120 a megawatt -- Bitcoin. And so our -- we'll curtail our miners and happily sell power and price that operation.  And so August is still mostly ahead of us. Early to mid-September, you can get some serious price dislocations and so we're optimistic. But I think you've seen with the cost-cutting programs, the focus on capital efficiency. We're not betting the business on higher power prices than the forward curve.  Importantly, as you look forward to 2024, the winter -- the coming winter, summer, wherein future prices are expected to be higher than the current prices. And so I think we're working this kind of loose natural gas market that has been, but when you go into 2024 and April of 2024 and having a distinct difference between our business and the rest of the Bitcoin miners is that when we wake up in April and you have the having our power operations, our ability to sell power and the cash flow we can generate from that business do not have unlike Bitcoin mining where there's obviously risk around the having, and we've been investing accordingly.  So we look forward to our prospects and business model demonstrating its differentiation as we go over the next 6 to 12 months.
Kevin Dede: Last question for me on this, Greg, but you alluded to maybe some dynacism within the PJM grid. And I'm curious -- I apologize that I don't know more of this myself, but as you look across that grid and perhaps the advent of any projects, you alluded to ERCOT. And I understand there's some interest in developing plants that could perhaps readily address these market price swings. And I'm wondering if you think the parallels between ERCOT and PJM are close there as well. Is there anything that you can see in your crystal ball that might change the dynamics from a new construction perspective?
Gregory Beard: No. I'll send you. It's been well reported. I'll send you my favorite article, the Wall Street Journal put out maybe 3 or 4 months ago, where they were talking about, a, where is all of the power going to come from for PJM given all of the planned shutdowns of the coal infrastructure. I think it's said something like the 60,000 megawatts grid network that is going to be experiencing more than 10,000 megawatts of shutdowns. And so -- and that's just way, way too many megawatts to lose to have solar and wind replace. And so that was in the form of a question, hey, where is the power going to come and in a socratic way asking, hey, PJM, what are you doing to manage your grid, given that we have all of these announcements and not enough new builds to serve the power needs of the region.  So I think in Texas, we saw something a little bit different in that there seems to be -- that's sort of the biggest removable market in the country, which means it's the most intermittent service in the country, which I would argue using data and it says, "Hey, that's what's causing massive price swings in Texas. " And sometimes they power -- the sun is shining, the wind is blowing and there's more power than can be consumed. -- power prices actually sometimes go negative.  At the same time, when it's cold and -- or super hot and the wind isn't blowing, people are willing to pay a lots of power if it's in short supply. So I think that's the unintended consequence of having a more renewable greener grid, is more intermittent and more price swings. And probably an overall average higher price than what a baseless fossil fuel plant would have. But I'll forward you this Wall Street Journal article. I'll post it on our twitter accounts for those listening to read as well. But I think the theme in reading it, it will make you comfortable to be invested in the power business with a environmentally beneficial power source like ours that should survive and benefit from these swings.
Kevin Dede: How would you imagine PJM answers that socratic question?
Gregory Beard: Well, they can't say it either right? That's the -- that's what you -- what can happen is we can't have a tripling of the power price in a true shortage. So in a way, the market forces will answer -- and if power prices go up, then you see plants that were scheduled to shut down [indiscernible] so not to, right? But then I think then we're not going to get the cleaner greener plan that's also been projected by all of these power owners and developers. So it's a -- my expectation is that we'll see market forcing prevail over like a green push. But hey, that's really the -- like every boardroom is asking what are we doing to get more So it will be a tough question.
Kevin Dede: Thank you so much for entertaining the questions, gentlemen. Appreciate it greatly.
Operator: [Operator Instructions]. Question comes from Lucas Pipes with B. Riley Securities.
Unidentified Analyst: This is [indiscernible] on for Lucas. Congrats on the progress recently here. Last quarter, you noted that at Scrubgrass, you have 700 acres there and really only half of the transmission capacity is being used. I think you'd said that maybe the opportunity to increase power Gen capacity there would not be really until next year. Just was wondering, is this something that could be before having after having or really just independent of the having event altogether?
Gregory Beard: That's -- it's a great question, and thanks for joining the call. I think we've said -- I think we made that disclosure, and it's known that we have more capacity there at Scrubgrass and a lot of acreage. And we're constantly looking at opportunities to improve our business model, making more far more stable asset. And so I think you can expect over the next quarter or 2 news on how we're going to take advantage of that. And maybe not just on the power side, but I think we've also said, hey, we're studying carbon sequestration. So I think it is a very good thing to have access to both transmission access potentially to -- if you're familiar with what it takes to put new assets online in our network, it's about a 3-year wait that we're setting ways to sort of cut the line and get access, put more power on the grid in a much shorter time frame than that.  And then, hey, I think the infrastructure bill that can pay you between $80 and $160 a ton for carbon credits that has our attention. So we're very much studying that market and hope to have news really positive news in the next quarter or 2, but we're just not quite ready to talk about it yet. But that's please ask again every quarter until we come out with the 8-K and press release, but that's we are focused on.
Unidentified Analyst: Got it. Got it. That's really helpful. Maybe just one more from my end. Overclocking and underclocking has been kind of a popular topic among your peers as we approach the having. And just wanted to get your perspective on this at the miner level and -- and really maybe a reminder is if you -- if this is kind of less important for Stronghold, just given your optionality on the power side.
Gregory Beard: Yes. I think so far, we've done a really poor job at overclocking, underlocking and we're aware that we can do it. We have a software, but I think that's something that I think you could see in the coming quarters, like upside to our model versus what we've probably guided to because we are now -- because we now have this 4 exahash of miners installed or coming, we're now focused on more than we have in the past, really just focused on, hey, how do we get our efficiency to be maximized. And that will include overclocking, underclocking and probably adding some new miner control software -- it's a little bit more complicated for us because we are interconnected with the grid. But yes, I think so far, that's just -- I'm happy to tell you that we are -- there is upside from here on the way we've been operating our assets.
Unidentified Analyst: Got it. Really appreciate all the detail today and continue. Best of luck.
Operator: [Operator Instructions]. And I'm currently showing no further questions at this time. I'd like to hand the conference back to Mr. Greg Beard for closing remarks.
Gregory Beard: Great. Well, I just want to thank the investors for the interest in Stronghold. Hopefully, you've noticed that we have been improving every quarter for this year, and we hope and expect that we'll see continued great execution from our teams, both on the power side and data center side over the coming quarters, and we look forward to our next meeting. Thanks, everyone.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.